Operator: Good morning, ladies and gentlemen. Welcome to The Andersons 2024 First Quarter Earnings Conference Call. My name is Rocco, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now hand the presentation to your host for today, Mr. Mike Hoelter, Vice President, Corporate Controller and Investor Relations. Please proceed. 
Michael Hoelter: Thanks, Rocco. Good morning, everyone, and thank you for joining us for The Andersons first quarter earnings call. We have provided a slide presentation that will enhance today's discussion. If you are viewing this presentation from our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com shortly. Please direct your attention to the disclosure statement on Slide 2 as well as the disclaimers in the press release related to forward-looking statements. Certain information discussed today constitutes forward-looking statements that reflect the company's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Actual results could differ materially as a result of many factors, which are described in the company's reports on file with the SEC. We encourage you to review these factors. This presentation and today's prepared remarks contain non-GAAP financial measures. Reconciliations of the GAAP to non-GAAP measures are included within the appendix of this presentation. On the call with me today are Pat Bowe, President and Chief Executive Officer; Brian Valentine, Executive Vice President and Chief Financial Officer; and Bill Krueger, Chief Operating Officer. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Pat. 
Patrick Bowe: Thank you, Mike, and good morning, everyone. Thank you for joining our call this morning to discuss our first quarter results and outlook for the remainder of 2024. First quarter results were solid for the company and overall, very comparable to last year. The mix of our results is a bit different with trade down against last year's record first quarter and renewables in Nutrient and Industrial both generating favorable results against 2023. I want to thank our teams for their hard work in producing these results in transitioning markets with a continuing focus on operating safety. As expected, Trade had a slower start to the year as farmers have been reluctant to engage in forward sales at these lower price levels. Coupled with this is softer global demand for U.S. crops as worldwide supply and demand has become more balanced. These factors impacted both our physical grain assets and our merchandising teams. Our premium food and pet food ingredients business saw a significant year-over-year improvement. This is a smaller but growing portion of our Trade business, and improvement comes from both organic growth and 2 recent accretive acquisitions. Operating performance in the Renewables business was very strong and driven primarily from our ethanol plants. We had record first quarter production and efficient operations benefiting from lower natural gas prices and solid ethanol yields. The ethanol crush hedges the team executed during the fourth quarter also helped our ethanol margins. We are successful in increasing volume in our renewable diesel feedstock merchandising business, but have been challenged by compressed margins on industry fundamentals. Our feed co-product values were also weaker with the overall lower commodity price environment. In our Nutrient and Industrial business, we experienced an increased margin and volume in our agricultural fertilizer product lines in the seasonally slow quarter. Results were significantly improved from the first quarter of 2023. Brian will now cover some of the key financial data. After that, we'll be back to discuss our outlook for the remainder of 2024. Brian? 
Brian Valentine: Thanks, Pat, and good morning, everyone. We're now turning to our first quarter results on Slide #5. In the first quarter of 2024, the company reported net income attributable to The Andersons of $6 million or $0.16 per diluted share. This compares to a net loss of $15 million or $0.44 per diluted share and adjusted net income of $7 million or $0.20 per diluted share in the first quarter of 2023. Adjusted pretax earnings were $7 million for the quarter, which was comparable to the $8 million in 2023, with Renewables and Nutrient and Industrial both showing improvement, offset by a year-over-year decline in Trade. Adjusted EBITDA for the first quarter was $51 million compared to adjusted EBITDA of $55 million in the first quarter of 2023. Trailing 12 months adjusted EBITDA totaled $401 million. Our effective tax rate varies each quarter based primarily on the amount of income or loss attributable to noncontrolling interests. We recorded taxes for the quarter at a 9% effective tax rate. We now expect a full year adjusted effective tax rate between 18% and 22%. Next, we'll move to Slide 6 to discuss cash, liquidity and debt. We generated cash flows from operations before changes in working capital of $48 million in the first quarter of 2024, demonstrating our ability to consistently generate strong operating cash flows in changing markets. Our cash flow generation, combined with lower commodity prices and delayed farmer engagement, resulted in negligible short-term borrowings at the end of the quarter. Next, we'll take a look at capital spending and long-term debt on Slide 7. We continue to take a disciplined, responsible approach to capital spending and investments, which we expect will be approximately $150 million to $175 million for the year, roughly half of which is typically related to maintenance capital. Our long-term debt to EBITDA is currently less than 1.5x, which is well below our stated target of less than 2.5x. We have a balance sheet with significant capacity to support growth investments that meet our strategic and financial criteria. We continue to evaluate growth projects in our pipeline, including additional M&A opportunities. Our project pipeline has been increasingly active over the past few months, and we are excited about potential opportunities to execute on additional growth projects, including the recently announced acquisition of Reed and Perrine, a bolt-on acquisition expanding our geographic reach in our turf business. Now we'll move on to a review of each of our businesses, beginning with Trade on Slide 8. Trade reported first quarter pretax income of $6 million and adjusted pretax income of $9 million, compared to $24 million in the same period of 2023. We had mixed operating results in our Trade business portfolio when compared to our record 2023 first quarter. As Pat mentioned, aggregate results of our merchandising businesses were solid, but down in a backdrop of a less dynamic U.S. grain market with lower commodity prices and less volatility. In addition, given recent geopolitical unrest, we have intentionally and prudently pulled back on activity in certain regions. The financial results for our grain assets were relatively consistent year-over-year as domestic producers are still hesitant to sell -- to forward sell due to lower commodity prices, combined with limited basis appreciation to start the year. Our assets are well positioned once the grains are brought to market. Investments in growth projects, including acquisitions and additional food corn capacity, led to improved results in our premium food and pet food ingredient businesses. Trade's adjusted EBITDA for the quarter was $24 million compared to $44 million in the first quarter of 2023. Moving to Slide 9. Renewables had a very strong first quarter, generating pretax income attributable to the company of $16 million and $13 million on an adjusted basis compared to $6 million in the first quarter of 2023. Our current quarter earnings doubled year-over-year due to stronger ethanol margins and favorable ethanol crush margin hedges executed during the fourth quarter. Production facilities continued to operate efficiently with record first quarter production and lower natural gas prices. Renewable diesel feedstock volumes continue to grow, but we are seeing margin compression on industry fundamentals. Feed ingredient demand is also strong, but at a lower value as it is tied to the price of corn. Renewables had EBITDA of $35 million and adjusted EBITDA of $32 million in the first quarter, compared to $22 million in the first quarter of last year. Turning to Slide 10. The Nutrient and Industrial business reported a first quarter pretax loss of $2 million compared to a loss of $10 million in 2023. Overall, fertilizer prices stabilized in the seasonally slow quarter. The improvement year-over-year was driven by increased volumes and margins in core agricultural product lines. Nutrient and Industrial had EBITDA of $7 million for the quarter compared to an EBITDA loss of $1 million in the first quarter of 2023. And with that, I'll turn things back over to Pat for some comments about our outlook for the remainder of 2024. 
Patrick Bowe: Thanks, Brian. We remain positive about our 2024 outlook against a changing market environment. While the last few years brought us volatile demand-driven markets, a global balance of supply and demand will now allow us to demonstrate our ability to deliver good results in carry markets with more focus on the value of our grain assets. We continue to expect a sizable U.S. harvest, but acknowledge pockets of weather-related planting and fertilizer application delays due to wet weather, which is typical in this spring season. Our Trade business outlook remains solid, although strong levels of global supply and reduced prices have caused both farmers and end users to reduce their forward contracting. Markets have recently begun to move higher, which could bring more volatility into the mix. At this time, we continue to expect a normal growing season. In February, we talked about our lowered expectations for wheat storage income with the large purchases from China during the fourth quarter. Subsequent cancellations of a significant portion of that wheat purchases from China has resulted in a return of carry to the wheat markets, leading to a more positive outlook. We're also very pleased with the growth in our premium food and feed ingredient products and look for that to continue to both grow organically and through acquisitions. Our Renewables segment looks to build on their outstanding first quarter, our second best Q1 ever. The Renewables business is an important part of our growth strategy, and we continue to make progress toward lowering the carbon intensity of our ethanol. This includes enhancements at our production facilities as well as supportive farmer programs that should position us to acquire lower carbon corn as a feedstock in the future. The outlook for this business remains strong. Improving and maintaining our 4 production facilities for optimal efficiency is crucial to us. After the quarter end, we completed all 4 maintenance shutdowns and successfully returned to full production. Our renewable diesel feedstock merchandising business is also an important growth engine for the company. And while we increased volume in the quarter, margin compression reduced the year-over-year result. We believe that with additional renewable diesel refinery demand expected in 2024, volumes and margins will stabilize. The Nutrient and Industrial business outlook also remains positive as we anticipate solid demand for the ag fertilizers and specialty liquids that we supply. The spring planting season is critical to this business and it is typical we have pockets of our geography that have experienced wet weather. We're also ready to support our customers with both input supply and application services when needed. We continue to work on operational improvements in our turf business and recently closed on the acquisition of Reed and Perrine, a turf fertilizer manufacturer located in New Jersey that expands our geographic reach to the East Coast. So with our strong balance sheet position and a desire for growth, we're excited about significant opportunities in each of our 3 segments. We have a number of organic growth initiatives as well as a pipeline that is very robust. With changes in the ag markets, we're also focusing on organic and acquisition opportunities that should help us achieve our 2025 run rate EBITDA target of $475 million. We'll continue to maintain and maximize our response and our decisions that benefit our customers and maximize shareholder value as we execute on growth opportunities within our stated strategy. With that, I'll turn things back over to Rocco, and we'll take your questions. 
Operator: [Operator Instructions] Today's first question comes from Ben Bienvenu with Stephens. 
Ben Bienvenu: If I think about, Pat, kind of all the puts and takes that you laid out in the Trade business, the risks from geopolitical uncertainty and maybe the pullback associated with that, a more balanced, less volatile backdrop. But now a weak carry in the market, large crop here in the U.S. Help us think through net of all of those factors, how you're thinking about for the remainder of the year, maybe a year-over-year comparison of kind of Trade contribution of pretax earnings to the business? 
Patrick Bowe: Sure. A very good question, Ben. I'll get it started and then turn it over to Bill who knows it better than I do. I think the interesting thing to think about us is we talk about the balance of our portfolio. So the good news for us is the carries coming back to the wheat market. As you know, historically, we're very well positioned for storage of soft wheat inventories in our eastern assets, and that's going to be a nice income source for us, a traditional way of earning carry income at our elevators. But some of the volatility that we had a year ago with really tight inverse markets, we took advantage of that with some of our point-to-point trading that's not there this year, which asks us to do something quite different. So we just haven't had a lot of farmer engagement selling at lower prices or even customers wanting to -- on the buy side, wanting to book ahead forward. But that will change as we go through the crop year. I think the farmers see what's coming. With their planting, they have a little more confident position. And if we have a little pop like we've seen recently, we'll have better farmer engagement. And we'll just be able to work through these merchandising through the course of the year in a different fashion. I'll turn it over to Bill, who can elaborate further. 
William Krueger: Ben, the only thing I'd add to what Pat had commented there is, in Q1, you had kind of a combination of items, right? You had lower prices than the producers had been used for. The end users were being rewarded by waiting. So we just saw a lot fewer transactions occurring. Now that we're getting into our corn planting and we've had this recent rally, we're seeing a lot more activity pick up. And as we've talked about before, your end users currently, at least in the U.S., are doing very, very well. So we don't anticipate any changes there. And assuming we end up with the expected fall crops, we actually feel like we're positioned really well. We're going to see less volatility likely in 2024 as we look forward today, which will not benefit our merchandising businesses. But at the same time, we have a lot of capacity that we're able to accumulate on a cheap harvest basis and be able to trade that into the marketplace as the market dictates. 
Patrick Bowe: And maybe just add one more thing to that. I know you know this well, Ben. But as primarily domestic suppliers, so we're not so much tilted just towards exports, our big export pool, which we don't have right now. We really focused on those beef, swine, poultry customers as well as ethanol, flour millers, other food and pet food business. So the diversification we've done over the last several years, especially in the food and pet food area kind of diversifies our portfolio domestically, and we work closely with those customers, and we expect that to be a nice support for us. 
Ben Bienvenu: Okay. Very good. Thinking strategically about capital allocation and kind of positioning of the business, you guys have sort of been swimming upstream, I suppose, in accumulating U.S. domestic grain assets. Some of the larger competitors of yours have been selling or leaning out of asset exposure. Why does it make sense for you guys to allocate capital to those businesses? How are you doing it differently? And why is it attractive to you in a backdrop where some of your competitors are moving away from that business? 
William Krueger: I'll take that, Ben. If you look back over the last 5 years, in fact, we've actually trimmed our asset portfolio and have been able to utilize our remaining assets very positively. The other difference that we have versus some of our competitors, as you mentioned, is we believe that we have the connection from the producer, all the way through to the end user with our ability to manage logistics, manage risk and be able to be a good supplier to those customers. So we see value in having the assets that we do have, in being able to work with the producers, we'll talk later on some of the regenerative ag products that we've been working on the last couple of years. And so we see our fit in that ag supply chain across North America. 
Patrick Bowe: Maybe to add on to that, too, Ben, just to echo what Bill said, we did modify our portfolio. We sold Champaign, Illinois, which is one of our biggest assets. And previous to that, we sold assets we had in Tennessee and Iowa. So we had kind of shrunk our footprint a little bit in grain assets. A lot of the bolt-on acquisitions that we've done have been in pet food and investments we made into food grade corn. So we're kind of working on those parts of the portfolio or niches where we could differentiate. And Bill mentioned, now we're trying to position ourselves well with regenerative ag and working around our ethanol plants, how we can be a low carbon provider and working with growers on that. So it's kind of a just grain assets for grain assets sakes isn't our focus. It's really about how do we broaden our portfolio that give us higher margins. 
Ben Bienvenu: Okay. Very good. Very helpful. My last question, if I could ask one more just on the ethanol business. You had kind of inkling of a positive outlook a little bit there. Can you talk about kind of what your expectations are as we enter the summer driving season with respect to where we see days of inventory, export demand and kind of production across the industry? 
William Krueger: Yes, I will start with that one also, Ben. If you look at Q1 exports up 25-plus percent year-on-year, we believe that calendar 2024 ethanol exports will see an increase over 2023. We expect that to continue. As everyone knows, we did get the waiver passed on E15. So we'll see that continued demand. And we really view our ethanol plants as some of the best-in-class and are able to continue to manage really strong results through production capabilities, our risk management and kind of more importantly, being able to really target the opportunities that we see towards the end of this year. And so we do feel pretty positive on the renewables section. Pat hit on our renewable diesel feedstock business continues to grow in volume. Our customers there have seen margin compression due to the slow uptake or ability for some of the RD plants to come online and run at full capacity. But we continue to see our value, in that part of the supply chain, continue to bring this growth in volume. 
Patrick Bowe: And maybe over the long run, I think [indiscernible] and Bill can comment more on this. We were -- like what we saw out of the government last week as far as regenerative ag and the outlook for programs for SaaS down the road. And our big focus for us is position our ethanol plants to be low CI, big scale, high-volume quality assets can be important assets to supply the sustainable aviation fuel market. And maybe, Bill, you want to add some more to that? 
William Krueger: Yes. We have been working aggressively the last 18 months and longer in a couple of situations in making sure that we have a pathway to achieve 45Z. We have good geological footprint in the East. We have -- obviously, the pipeline runs very close to our Denison, Iowa plant. So we feel like we have a pathway for all of our ethanol plants. Some are closer than others to being executed, but we're choosing very selectively the pace that we want to move at and the plants that will bring us the most value the quickest. And we do feel like we have some good opportunities there. 
Operator: And our next question comes from Ben Klieve at Lake Street Capital Markets. 
Benjamin Klieve: I'd like to continue this conversation a little bit here with the ethanol to jet opportunity. It's interesting that there's a lot of different takes on this opportunity, it seems very wide ranging. And I'm curious, you talked about your kind of enthusiasm for the news out of the administration last week regarding regenerative ag practices supporting the ethanol to jet opportunity. I've also heard a lot of thought that this isn't really going to be practically implementable for some time. Do you really get the sense that your farmers within the footprint of your existing ethanol facilities are going to be implementing all the various initiatives that are encouraged over the next few years? Or is that something that they're pretty kind of indifferent or just not going to participate in? 
William Krueger: Well, I think all producers will be focused on what they can do to enhance their profitability. The negative comments that you have likely heard from the administration's 40B are primarily related around bundling, which means that you have to use all 3 practices of -- and that, we hope will be unbundled in the 45Z. And geographically, whether you talk about the enhanced efficiency fertilizer cover crop or no-till are going to be different in each of our geographies on which 1 of the 3 the producers can use. But where they're able to -- making the assumption that they are unbundled, where they're able to apply those 3 optionality, I believe that they are going to utilize them, and they're also going to be able to continue to look at other practices and risk management that we've been pretty good at providing over the last several years. So in general, bundling is going to be a challenge if it's not decoupled in the 45Z, but our belief today is that it likely will be. 
Patrick Bowe: And maybe, Ben, this is Pat. It's a first goal here, right? So for the first time, carbon modeling schemes are being recognized by the administration and farming technologies to reduce CI is part of the program. So it's good to have that out there in writing. And the use of the GREET Model, again, there are several of those, but having the GREET Model used for federal tax policy, it's the first time we've seen that. We feel that's a good step, right? And industry associations and grower associations will be working with the government and trying to get the next bill to go around this to maybe be more friendly to applications at the grower level. I think the simple strategy for a company like The Andersons, we really like our 3 eastern plants, how they're positioned, and we like the geology that they have to do potential for CCUS at our sites and we want to take advantage of that. So those who have the biggest, most efficient, modern ethanol plants with the lowest CI scores will be the winners, and that's our focus. And so this isn't an overnight thing that all of a sudden everyone is going to be producing ethanol to jet tomorrow, it's going to be a journey. You got to take the steps one at a time to be positioned for success. And that's where we're positioning ourselves. 
Benjamin Klieve: Got it. Very helpful. And Pat, you touched on kind of my follow-up question is around the carbon sequestration out of your 3 eastern plants. Do you have any material CapEx included in that $150 million to $175 million number associated with that type of initiative? 
Patrick Bowe: Yes. So we mentioned before, and Brian can chime in here. So we said about 50-50 of our capital expenditures would be on base spending versus M&A, and we project that to be the same. That includes some plans for CCUS or ethanol plants... 
Brian Valentine: Yes. And I would say, Ben, I think some of that will be -- I can see it being this year, and I can see it then certainly going into '25 and even beyond. 
Patrick Bowe: And that's part of the point. These things don't happen overnight, right? These involve permitting and working with neighbors, and then you got to buy the equipment, then you got to get it installed. So we're working through that process with some really good advisers, and we'll be confident to be able to announce something when we have those really firm plans in place. 
Benjamin Klieve: Got it. No, that makes sense. Yes, nothing is easy, and we'll look forward to updates here in coming quarters on all those initiatives. Turning to the quarter, one kind of very specific question in the Trade group. I'm wondering if you can isolate the impact of the international business that you are -- that you backed away from for geopolitical purposes. Can you just kind of talk about maybe the magnitude of the EBITDA contributions for that business last year and kind of the outlook for reentering that -- those markets here in later part of this year? 
William Krueger: Yes, I'll take that one. The change year-on-year is somewhere in that $5 million to $10 million EBITDA range. And our focus is on making sure that there is ample U.S. dollar liquidity in the markets that we're supplying. And so we feel like it's in the best interest of the company and the shareholders to wait until some of that liquidity comes back before pursuing more opportunities. We have an ongoing business. The business is operating well today. We're just being very focused on the risks that we're willing to take. 
Patrick Bowe: And maybe I could add to that, Ben. I think it's about just a shift of focus within geographies, right? So our [ Luzon ] office has been very successful. We set up operations in Romania that have gone very well for us from an origin standpoint. Just with the challenges in the Black Sea and Red Sea, we kind of want to go slow. As you know, last year, we mentioned we had some currency struggles with Egypt, so we want to get that back under control. So we'd rather just be very prudent with our approach to risk there, but we still think that is an opportunity for growth, especially long-term growth for us. 
Benjamin Klieve: Got it. No, that makes sense. Very good. And then lastly, curious if you can elaborate a bit on your outlook here for kind of first half results out of the N&I segment. Last year, I know there was kind of a big seasonality shift from Q1 into Q2. Can you kind of frame the kind of first half expectations for that segment from last year to this year? 
Brian Valentine: Yes, Ben, I can do that, certainly. I think as you said, right now is kind of peak season for that business. Second quarter is really tends to be the strongest quarter for our Nutrient and Industrial business. And so when we look at the entire first half year-over-year, I would probably expect it to be flat year-over-year to maybe down slightly. I think as we speak, we're probably seeing a little bit lower volumes, but higher margins year-on-year. 
Operator: And our next question comes from Scott Fortune with ROTH MKM. 
Scott Fortune: Just want to follow up a little bit on the Nutrient side. We've covered, obviously, the Renewables, but just kind of the investments or CapEx that you're looking on in the Nutrient and Industrial side. And are you looking to kind of continue to expand the pet food niche that you've built out nicely from that standpoint? 
Patrick Bowe: Yes. Again, Scott, welcome to the call. Thank you for being on with us today. Yes, we mentioned we added a small bolt-on acquisition in our turf business on the East Coast, Reed and Perrine in New Jersey. That's a geography in the East Coast and Mid-Atlantic we hadn't addressed before. So that's a nice geographic move for us. We'll look at those opportunities. It's really geography by geography. And I think the overall market of M&A, and I can't speak to all industries, but it feels like things are a little bit better. We're seeing more things pop up coming from bankers and in the pipeline in general. I don't know if that's a higher interest rate environment or whatever. But I think there's going to be some opportunities for us to deploy capital wisely. We want those to be within our strategies and fit right within our core business. One of those plays, as you mentioned, was pet food and specialty food ingredients that we've been able to grow the last couple of years. Again, those have been more small to midsized bolt-on acquisitions. And those tend to work well for us. We've been doing some additions of technology and equipment in our plants to support customers. That's a real plus as well as investments we're going to be making in carbon sequestration we talked about in ethanol. So there's a good opportunity for growth that fits within our strategy. 
Brian Valentine: Yes. Scott, this is Brian. Just to clarify a little bit. I know you had asked specifically about Nutrient and Industrial. That business, if I think about our growth capital, that business will probably allocate, call it, $10 million to $15 million of growth capital to that segment this year. Pat mentioned, a lot of those projects get into automation and improvements in our plants, things that maybe didn't pencil a few years ago that now do make good sense. And just to clarify one further -- the pet food ingredient business is also a place that we're allocating capital. That actually rolls up under our Trade segment. And we have done a couple of acquisitions in that space with ACJ and Bridge over the past 12 to 18 months. So just wanted to clarify that as well. 
Scott Fortune: Got it. That's helpful. And just kind of a follow-up. So that kind of puts you -- you're committed to achieving your long-term target here, $475 million of '25. And the bridge is coming from internal investments and expansion kind of M&A. It sounds like, Pat, you're seeing kind of the M&A side potentially improving in this coming environment, but just kind of step us through bridging to get there. You mentioned a lot of initiatives, but just kind of the priorities of those initiatives [ just to ] meet those targets. 
Brian Valentine: Yes. I can take a first shot at that, and then certainly, Pat and Bill can chime in. And we've talked previously on -- you're right. To achieve that $475 million EBITDA run rate target by the end of '25, certainly we'll require M&A. We've said previously that we expect it to be about 50-50. We are seeing a lot of -- a lot more M&A activity in our pipeline. And so we're continuing to evaluate those closely. I would say the good news is they do spread across all of the segments that are close to our core. And so there's been good activity and hopefully, valuations will come in line so that we're able to achieve the right return expectations. I would say on the whole, probably a little bit larger portion allocated to renewables followed by trade, followed by fertilizers, how I would kind of think of framing up the big picture there. So I don't know, Pat, if there's anything you want to add to that one. 
Patrick Bowe: No, that makes sense. And like we said, Scott, that we can't achieve that number by organic alone. We'll need to do some. And we've passed on several deals over the last 3 years, it just were a little too pricey. I think maybe that will change somewhat in this environment. We have a strong balance sheet, and so we're well positioned to move on that. And so especially ones that fit in our core competency that we can integrate, maybe capture synergies. So those are the areas we're focused on. 
Scott Fortune: Great. And just one last [indiscernible], kind of big picture kind of talk about the ag cycle. I know you've mentioned in the past, but we've seen commodity prices come off, a little bit of pick up here. But farmers income overall is still very solid. But are you seeing any additional pressure here, but you -- obviously on the ag cycle? Or you kind of remain well positioned in the eastern plants and obviously growing the renewables side and you remain well positioned on the ethanol side? Just kind of your picture of kind of the ag cycle where we're at right now as we look out the next couple of years. 
Patrick Bowe: I'll just start and then Bill can chime in here. You said like we're off the peak of the start of the Ukraine war when commodity prices really spiked. We've had a big production response in South America. We've had good crop conditions a couple of years in a row here in the U.S. So this is a normal cycle kind of move after having some peak pricing. I think it's a good thing for our ethanol business that initially, you start to have the pressure on feed values as corn prices come down. It feels like we hit a bottom here, we've kind of picked up here a little bit recently. I think the demand domestically across all of our industries is quite attractive. So that -- and it's just really exports that are really the slowest segment. And ethanol, as Bill talked about earlier, is it looks to be really strong this year. So we're pretty positive about that. So in general, this is not a crash of a big market spike. It feels like a return to kind of the normal. And growers, as you mentioned, while don't have the peak income they had 2 years ago, they still are very solid financially. So we're in a kind of a good position in U.S. ag in general. 
William Krueger: Yes. The only thing I would add to that is the ag cycle is going to be tied a lot more to the global ag market's supply and demand. And so we still have very strong corn and bean carryouts. Wheat's a little tighter, but we've been able to understand that over the last 2 or 3 cycles, how that's going to work. But I do think that the one opportunity here for the producers is going to be tied to their ability to generate incremental farm income from whichever programs they choose to participate in. And I think that will help soften the landing over the next 12 to 18 months. 
Operator: Thank you. This concludes your question-and-answer session. I'd like to turn the conference back over to Mike Hoelter for closing remarks. 
Michael Hoelter: Thanks, Rocco. We want to thank you all for joining us this morning. Our next earnings conference call is scheduled for Wednesday, August 7, 2024 at 11 a.m. Eastern Time when we will review our second quarter results. As always, thank you for your interest in The Andersons, and we look forward to speaking with you again soon. 
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.